Operator: Hello everyone, and welcome to the Wallbox Fourth Quarter and Year End 2021 Earnings Conference Call and Webcast. My name is Charlie, and I'll be the operator for today's call. At this time, all participants' lines have been placed in a listen-only mode to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Matt Tractenberg, Wallbox's Vice President of Investor Relations to begin. Matt, please go ahead.
Matt Tractenberg: Thank you, Charlie, and good morning, and good afternoon to everyone listening in. Thank you for joining us on today's conference call to discuss Wallbox's 2021 fourth quarter and full year results. This call is being broadcasted over the web and can be accessed on the investor section of our website at investors.wallbox.com. I'm joined today by Enric Asuncion, Wallbox's CEO; and Jordi Lainz, our CFO. Earlier today, we issued our press release, announcing results from the fourth quarter and full fiscal year 2021 ended December 31, 2021, which can also be found on our website. Before I begin, I'd like to remind everybody that certain statements made on today's call are forward-looking that may be subject to risks and uncertainties relating future events and/or the future financial performance of the Company. Actual results could differ materially from those anticipated. The risk factors that may affect results are detailed in the Company's most recent public filings with the U.S. Securities and Exchange Commission, including its registration on Form F-1 filed with the SEC on November 12, 2021, which can be found on our website at investors.wallbox.com and with the SEC. For a more detailed description of certain factors that could cause actual results to differ, please refer to that F-1 in our earnings release issued today. Please also note that, we will be presenting unaudited financial statements in IFRS format that reflect management's best assessment of actual results. The audited results and reconciliation will be presented in Wallbox's, upcoming Form 20-F to be filed with the SEC. And finally, a copy of these prepared remarks can be obtained from the IR website as well, under the quarterly results section, so you can more easily follow along with us today. So with all that out of the way, I'll turn it over to Enrique.
Enric Asuncion: Thank you, Brett. And thanks everyone for joining us today. During the call today, I will review highlight from the fourth quarter and full year 2021. I will also summarize key commercial partnerships, product developments and what is top of mind for our leadership team, as we look forward. I will then turn the call over to Jordi, who will provide a more detail review of our financial results before returning to share some thoughts on what we expect for 2022. We will end with Q&A session 2021. 2021 marked an inflection point for our industry, and more importantly for Wallbox. According to Bloomberg New Energy Finance, there are more than 17 million electric vehicles on the road today and almost 11 million more are expected to be sold in 2022. Governments, enterprises and consumers alike have woken up to the new reality for mobility, and that reality is electric. And this electric evolution starts at home where 70% to 90% of charging occurs. Impressive growth in the demand for these means that Wallbox mission to accelerate the adoption of EV's through smarter, simple charging and energy management solutions has never been more relevant. In the six years, since our inception we have expanded into 98 countries, delivered rapid product innovation cycles, achieved key operational milestones, continuously expanded to meet global demand, and built a resilient, vertically integrated supply chain. We completed a successful transaction with Kensington Capital Acquisition Corp II in October against a challenging market backdrop, resulting in more than $250 million in proceeds and becoming the first Spanish Tech company to be listed on the New York Stock Exchange. 2021 was a busy and exciting year, and we’re grateful to all our employees, customers, partners and investors who have helped us get to where we are. While we’re extremely proud of our accomplishments, we’re even more excited about what lies ahead. The fourth quarter of 2021 marked our first full period as a public company and it was a landmark quarter in many ways. Fourth quarter revenue was approximately $31.3 million, up 165% year-over-year. Our record quarter was fueled by outstanding execution by our sales teams across Europe, APAC, and North America which notably was double the global EV market growth. This outpaced growth is due to significant expansion in newer markets for Wallbox such as Germany, where our team grew quarterly revenue by 5x from fourth quarter 2020, and in the U.S. which grew its revenue by more than 12 times over the prior year period. These sales were also supported by key partnerships with utility clients such as Iberdrola, fleet partners such as Uber, and high volumes of partnerships at the installer, re-seller, and distributor level, such as SunPower. We sold approximately 44,000 chargers in the quarter, with 88% in Europe, 7% in the U.S., 4% in APAC, and 1% in LATAM, and most of these units were sold with energy management features enabled. We began production in our new, 121,000 square foot state of the art manufacturing facility in Barcelona, internally called D26, which is equipped with cutting edge industrial IoT assembly lines and automated workstations. These upgrades have helped us improve our production capacity by 400% per shift versus legacy facilities. We anticipate D26 to have production capacity of 750,000 chargers as we exit 2022, ramping up to 1 million chargers in 2025. We will play a short video that showcases the capabilities of this facility after our prepared remarks. While hardware is important, software is equally critical and in Q4 we doubled down on investment. We launched new features like Eco-Smart, Sirius, and Power Boost; energy management functions that allow our users to get the most out of their charger. The architecture we’re building, and that customers, partners, and auto manufacturers are increasingly demanding, is one that delivers an intelligent, efficient, and holistic solution. Competitors solve one problem, delivering electricity to the battery. But at Wallbox, we see the larger picture. How does the consumer, as a participant in a much larger ecosystem that includes utilities, renewable infrastructure, governments, auto manufacturers, and home builders, ensure that they are an active participant in how energy is delivered, stored, utilized, and monetized? The answer is software. A great example is the installed base of almost 200,000 Wallbox devices. This network provides a level of insight into behavioral and utilization data, which increases our visibility and improves the platform. The more connected devices, the more valuable the ecosystem. And you’ll see some exciting announcements from us on this front as we make our way through 2022. Turning to some key milestones from the full-year 2021. We’re pleased to report 2021 revenue of $86.5 million, exceeding our expectations and more than tripling our results from the full year 2020. In a year filled with many unexpected obstacles, we are extremely proud of our global team for helping us grow more than 260% year-over-year. These results were driven by exceptional strength in new strategic markets for Wallbox, including Germany, the UK, and the Netherlands in which we generated $14.5 million, $8.0 million, and $6.5 million of revenue respectively. The U.S. is quickly becoming a key revenue contributor too, and generated $5.7 million for the year. Additionally, we saw outstanding results from more established markets for Wallbox such as Italy, Spain, and Norway with $8.9 million, $8.4 million, and $6.4 million respectively. We sold a record 129,000 units globally in 2021, and while Pulsar Plus accounts for the majority of that volume, younger products will quickly change our mix. For example, during the full year, we saw an increased sales mix of Copper SB, our premium socket charger, increasing 300 basis points to 10%, largely a result of a stronger presence in France. Please note that the 66,000 units reported in Q3 represented units into Europe only. On a global basis, Q3 year-to-date units delivered was approximately 85,000. That convention had no impact on any reported financial results. As you’ll hear more about in a moment, operational excellence is a key element of our strategy. It has enabled us to minimize the disruption from the global supply chain issues many have experienced. It incorporates the vertical integration of many points within the ecosystem, allows us to ensure exceptional quality and availability, and control costs. It also enables us to accelerate the innovation cycle and bring more intelligent products to market faster and more frequently. On this note, I am very pleased with the fact that in the current inflationary environment, we delivered gross margins of 38%, in-line with our projections. Given the challenges and uncertainty many manufacturers have experienced, this resiliency is a testament to the operational capabilities I previously mentioned. Our in-house engineering, manufacturing, certification, and validation allows us to rapidly substitute components based on their availability, providing flexibility to execute a broader and more diversified supply chain. A summary of the year would be incomplete without mentioning our loyal partners. Iberdrola doubled down on their plan to install 150,000 chargers throughout Europe by 2025. They provided a letter of intent for 6,500 Supernovas and later announced their intention to purchase the first 1,000 units. We introduced a pilot program in California to provide Uber drivers with a discounted charger, installation, and financing, as part of their Road to Net 0. Based on demand, Uber announced the roll-out of the program to all cities around the United States and Canada with the potential to expand to Europe. And, lastly, we continue to serve long-time customers such as Hyundai, Nissan, and Mercedes, as they accelerate their electrification efforts around the globe. And lastly, we are proud of the various successful global pilots in 2021 with Quasar, our award-winning bi-directional DC charger for the home. Customers include Octopus Energy and Crowd Charge in the UK, Jet Charge in Australia, and Nuvve in Iberia. Quasar’s powerful energy management capabilities, small form factor, and attractive price point allow us to participate in these innovative pilots around the world and constantly be leading the conversation on vehicle to home and vehicle to grid. As we look forward into 2022, we have three key focus areas: new product innovation, operational excellence, and profitable growth. Starting with new product innovation, I’m very excited about our product development roadmap and evolution of our energy management products. We have been a product-centric company since day one, obsessing over how best to combine cutting-edge technology with modern design. At CES in January, we introduced Quasar 2, the second generation of our at-home bi-directional charger. Quasar 2 builds on the features and functionality of its predecessor and introduces blackout mode, which in instances of power outages, allows EV owners to use their car as an emergency generator for more than three days. And Quasar 2 will be compatible with CCS standards. When paired with solar and back up batteries, our energy management software will optimize the consumption of green energy and ensure customers consume the lowest priced power available. This comprehensive view of solving a very complex problem through both hardware and software, is what we believe will set us apart from others. Today, we are thrilled to announce a new platform that we believe will revolutionize our future generations of chargers. This new platform called ATLAS is Wallbox’s own proprietary embedded CPU. This platform is highly scalable, flexible, and secure. It allows us to develop more intelligent software features and incorporate a broader array of components so we can further diversify our supply chain. Additionally, it ensures we can provide a charger future-proof to any change in cyber-security standards. ATLAS will serve as the basis of all of our new hardware, software, and firmware developments in the coming years and will have a crucial impact on our entire product suite. This is just one example of our in-house R&D, allowing us to deliver innovative products at a faster rate with higher quality. A key strategic differentiator that is very difficult to replicate. In addition to the residential and semi-public segments, we are heavily investing in scaling our DC fast charging lineup of chargers. Supernova is our first public DC product, which delivers up to 60 kW of power, providing 100 km of driving, in under 15 min. It delivers improved performance at half the typical cost due to our patented power electronics and modular design, and we’re pleased to report that we have delivered the first batch of units to select customers at the end of 2021. We’ve started producing these at D26 and we anticipate achieving manufacturing capacity of 1,000 units per month by the end of the year. We expect to deliver the first units certified for the U.S. in-time to participate in government subsidies. By entering the DC Fast Charging market, we dramatically expand our total addressable market and complete the circle of the EV charging ecosystem, now offering solutions at home, work, and in public environments. Turning to operational excellence. In addition to what you’ve seen from us on this front in 2021, our intention is to continuously identify opportunities that increase productivity, decrease cost, and improve quality. This has allowed us to mitigate some of the disruptions others have experienced, and will only improve with time. Over the last year, we announced our two new manufacturing facilities, the Barcelona facility previously mentioned and our first U.S. manufacturing facility in Arlington, Texas, which we expect to be operational early in the second half of 2022. In addition to improving delivery time and reducing freight cost, this new facility will allow us to qualify for subsidies being offered by the U.S. government. Between our facilities in Barcelona, the U.S., and China, Wallbox will have a global production capacity of over 1.1 million chargers per year by the end of this year. And finally, onto growth and profitability. While we have spoken at length about product innovation and operational excellence, we are also hyper-focused on executing our plan to deliver positive EBITDA in 2024 and free cash flow by year end 2025. As part of this path, we intend on continuing to vertically integrate, bringing in-house components that impact our cost of goods sold, many of which have proven sensitive to supply chain shortages. By taking this production in-house rather than buying from suppliers, we believe that we can achieve meaningful cost savings. We anticipate more announcements on this front as we make our way through 2022, with potential positive benefit in 2023. This is another example of our goal of exploring all opportunities, both organic and inorganic, to further expand margins, drive innovation, and capture share. Now, over to Jordi to comment on our financial details. 
Jordi Lainz: Thank you Enric, and good morning everyone. I’d like to thank our analysts and investors for joining us on our first earnings call. Before I review the financials, I’d like to point out that full audited financial statements will be provided in our upcoming Form 20-F, which will be filed with the SEC by the end of April. I’d also like to point out that while we are presenting our results today in U.S. dollars to make modeling easier for investors our functional currency is the euro. The vast majority of our sales and costs are denominated in euro. The rate at which we translate the results will always be clearly defined, and for the fourth quarter and full year, the rate used is consistent with that used in our finance model presented to you in September of $1.208 per euro. Occasionally, there will be periods of volatility, similar to what we see today in the currency markets, and since we forecast our business on a euro basis and translate those figures into dollars, our dollar denominated results may differ from what you’ve modeled. For this reason, going forward, any forward looking guidance we provide will be given in euro terms. Like Enric, I’m very pleased with our record quarterly and annual results. Revenue, gross profit, units, geographic footprint, headcount, and breadth of product portfolio all showcase the exciting phase Wallbox is in today. We have a unique value proposition for investors, a high growth company in a very attractive market, benefiting from strong secular growth drivers, combining innovative hardware and software, with a vertically integrated manufacturing model. We are clearly building a world-class company with market leading products. And while 2021 was an outstanding year for us, I’m very optimistic about what's to come. For the fourth quarter 2021, revenue was approximately $31.3 million, a 165% increase from the year-ago period, driven by strength across all regions and products. While the vast majority of our revenue today is attributable to hardware, over the long-term, as our business grows, we expect to derive 20% of sales from software and services. From a geographic standpoint, EMEA contributed $27.6 million in the quarter, North America was $2.1 million, APAC was $1.3 million, and LATAM, where we just launched, delivered $300 thousand. While many of the 98 countries are just beginning to contribute, we expect them to grow at a fast pace as EV adoption accelerates, and our share capture programs gain traction. I want to point out that the U.S. is an important market for Wallbox, and one we’re aggressively investing in. Our sales channels, partnerships and manufacturing capabilities will continue to expand at a very fast pace throughout 2022 to allow us to capture the attractive growth we see ahead. Gaining customer awareness in the U.S. is also important, so perhaps you saw our Superbowl commercial last month. The amount of interest we generated, from customers, partners, distributors, and media, exceeded our own lofty expectations. While it's not something you do often, it was clearly a good decision for a company like Wallbox. Gross margin, which we define as revenue less changes in inventory, raw materials and other consumables used, was 36.7% for the fourth quarter and 38.2% for the full-year 2021. Both were in-line with our expectations. Stable pricing, continued scale and efficiency initiatives partially offset the impact of higher input costs. Operating expenses, which under IFRS convention includes personnel costs, were $33.4 million in the quarter and $55.5 million for the full-year. Note that these OpEx figures include one-off expenses which contain various IPO costs. The step-up you see after becoming a public company in the fall, reflects the growth phase we are in, and allows us to aggressively go after attractive commercial opportunities and develop new solutions to improve our position as an industry leader. We saw, and continue to see opportunities to bring forward investments to accelerate market expansion and operational capabilities. We make these critical investment decisions through a disciplined process and remain committed to allocating capital in a responsible manner. We consider these near-term opportunities to expand our footprint and accelerate product development as smart investment decisions and while we do not anticipate this spending level to continue, we believe that it will provide attractive returns. Adjusted EBITDA loss for the quarter was approximately $21.9 million and $55.0 million dollars for the full-year, driven by the timing of strategic investments, including increased sales headcounts and R&D investments. Revenue for the full year of $86.5 million was driven by our expanding geographic footprint, improved product portfolio, and continued solid execution by our sales team, resulting in impressive annual growth of 266% over 2020. Our balance sheet remains strong with $193 million of cash available, which we believe is enough for us to execute our strategic plan. Our 2021 balance sheet is translated at the December 31 spot rate of 1.133, consistent with what will be used in our forthcoming Form 20-F. We also ended the year with $19.9 million dollars of long-term debt on our balance sheet. During the fourth quarter, we hired almost 100 employees, with a mix between all functions. As of December 31, there were approximately 900 Wallbox employees around the world, more than double where we began the year. Share based compensation for the fourth quarter and full year, was $2.2 and $3.3 million respectively. Class-A and class-B shares outstanding at the end of 2021 were approximately 137.8 million and 23.3 million respectively. We also saw the expiration of the PIPE lockup in November, which resulted in 11.1 million shares added to the public float. Investments in PP&E plus intangible assets for the year were approximately 32.8 million dollars, driven largely by planned investment in property, plant and equipment designed to expand our manufacturing capabilities needed to meet the demand we see in 2022 and beyond. With that, I will now turn it back to Enric to provide you with some commentary around Q1 and full-year 2022. 
Enric Asuncion: Thanks Jordi. Before we provide some insight on the first quarter and full year 2022, I wanted to share some thoughts on the U.S. Infrastructure Investment and Jobs Act and the Build Back Better Plan. First, I have to commend the administration for pushing the type of legislation that will make our planet more green. $7.5 billion dedicated to charging infrastructure, low or no emission bus programs, and EV subsidies represents a historic bill that hopefully marks a turning point in the U.S. adoption of electric transportation. And there is no doubt that the highways within the U.S. need to be electrified, so electrifying 85,000 miles of national corridor will be transformational. However, we continue to believe that home charging is a critical element that needs to be addressed. When 95% of trips in the U.S. are 35 miles or less, home charging easily covers the day to day needs of the typical EV driver. Additionally, we have seen extremely successful grant programs such as the Office for Zero Emission Vehicles grants in the U.K. and the KfW grants in Germany. These grants around the European Union have accelerated the transition to EVs by solving for charging needs where it happens 80% of the time at home. Providing a grant program to subsidize home chargers would be one of the most economical and scalable ways to enable EV adoption in the U.S. To provide an example, for the cost of a single $100,000 public charger currently covered in the plan, 200 households could be equipped with a Pulsar Plus. For the full 7.5 billion dollars, you could provide 15 million homes with a charger. We strongly believe that the key to EV adoption and energy management happens at home and we encourage the U.S. government to study the effectiveness of programs that were launched in Europe to promote EV adoption. Now, to our 2022 outlook. In euro denominated terms, we expect consolidated revenues in the first quarter between €26 and €28 million, or growth of 170% to 190% year over year. We also expect gross margins of approximately 37% for the first quarter, a slight increase over the fourth quarter 2021. And we remain committed to the full-year 2022 revenue target presented in our September financial model. For the full year 2022, we continue to expect revenue between €175 and €205 million, representing an annual growth rate of between 145% and 190%. To add context, applying the 1.208 USD to EUR rate used in September, this range would imply a midpoint of $230 million. That concludes our prepared remarks today. As I mentioned earlier, we have a short video of the new Barcelona facility to share with you before turning to Q&A. We’re very excited about it and think you’ll agree that it's a significant step forward for Wallbox and our production capabilities [Audio/Video Presentation] Welcome back everyone that concludes the prepared remark today. So, we'll move into Q&A. Charlie, I think you have some instructions for our analysts today.
Operator: [Operator Instructions]
Matt Tractenberg: We just wanted to ask our analyst to start with one question and a follow-up if they need to and then reenter the queue, if they have more and it will allow everyone to get their questions out upfront. And then, we're going to get to as many as time allows. So I'll give that back to you, Charlie, sorry about that.
Operator: Thank you. Our first question comes from Chris Snyder of UBS. Chris, your line is open.
Chris Snyder: My first question is on the guidance. So obviously, the full-year '23 revenue guidance is quite strong at the 145% to 190% year-on-year. But can you talk a little bit about Q1, which is down sequentially versus Q4? And after Q4 was up 40% sequentially, can you just talk about why the Company thinks Q1 would be down sequentially? Does that just reflect all these macro headwinds we're seeing in the world? Or is there anything Wallbox specific in that?
Enric Asuncion: Yes. Hello Chris. Good morning everyone. So, well, actually, it's going -- it's going up versus Q4 our guidance and it's based on seasonability. Historically and always, Q4 is a very good month for vehicle sales and car sales in general. And Q1 is a bad one, so normally our growth quarter-on-quarter in Q4 versus Q1 is very flat, and is always like that. So, that's why we have this forecast.
Chris Snyder: Okay. I appreciate that color. And then for the follow-up, the Company has stated in the past that I believe the total cost ownership for its DC public charger the Hypernova come in 40% below peers, which is obviously very substantial. Can you just provide some color here around the drivers of that cost savings? And how the Company is able to sell to the market at that price?
Enric Asuncion: Yes. So, we have two DC public chargers in our [raw mat] one is Supernova which is 60 kW to 120 kW charger, and other is Hypernova which is 350 kW to 400 kW. The first one we already start delivering last year is Supernova, the 60 kW. And we, as you said which is 40%, say, end-user price compare to many competitors. The main reason is why thanks to our attempted DC switching technology. So, we use silicon carbon MOSFET in our power module. We developed in-house this power module. And this silicon carbon MOSFETs, what we do is, we do high frequency switching. So, the way they work it's they switch at 50x faster than what we are seeing today in standard products from the competition. So our switching frequency is 1 MHz, which means that we can make the products much more compact, much more -- with much less copper, much less passive components like capacitors and coils, which are the ones that add the cost. So, that reduced the cost of our power modules. That's one part. The second one is the modular design. Every supernova has six power modules. So, we have economies of scale when we build the supernova because we have six of those four modules, which allow us to really, really focus on a standard power factor for our power module. So, we can improve cost because Hypernova is more of four power models. So, we just have to produce more power module and improve the cost for every power module. And then, all our products get advantage for this cost reduction. And finally, it's the actual way is being produced. These are made of plastic. Normally, obviously, we have some metal reinforcement, but normally these products, our competition takes them as a standard power cabinet. They have electrical cabinet and it requires a lot of work from a trained electrician to pass all the cables and put all the components. In our case, it's injected plastic. It's built like we build a normal AC charger. So you just have to plug-and-play connectors and put our power modules. So, it's very scalable and very easy to produce. The point of that is that we can produce 1,000 in one month by end of the year, which is a much, much higher than what we have seen in the market today and it's unnecessary. It's like a blade server.
Chris Snyder: Appreciate all that color. Thank you so much.
Matt Tractenberg: Thanks Chris. Charlie?
Operator: Thank you for your questions, Chris. Our next question comes from Stephen Gengaro of Stifel. Stephen, your line is now open.
Stephen Gengaro: Thank you and good morning. Good afternoon, everybody. Two things for me. The one is just, when we are thinking about 2022 and the guidance that you provided. Can you talk about the sort of geographic mix that you are thinking about? And how you are thinking the U.S. market evolves? And maybe as my follow-up, I'll ask you now you could tie in any progress that you are seeing down at Arlington.
Jordi Lainz: Hi, Stephen. Hi everyone. It's Jordi Lainz speaking. Since today, we have not disclosed any guidance in terms of geographic sales. This is something that we will go in forward in our quarterly reports. Of course, we have reported our 2021 geographical sales revenue, and we are expecting a significant growth in North America, that as you know, we began our activity last February, and we are very happy with results of our activity there, and we are expecting that after also our efforts that we have been in terms of awareness, our Super Bowl campaign and coming potential and existing agreements with partners and as Uber as Polaris, we are expecting significant growth on this geographical area.
Enric Asuncion: Stephen, it's safe to assume that because we are coming off of a smaller base, some of the newer countries, some of the more nascent countries and geographies that we are in are going to grow at a faster pace, but that's just a function of the map. And you can assume that going forward at least for the foreseeable future.
Stephen Gengaro: Okay, great. Thank you.
Enric Asuncion: What was your second question, please?
Stephen Gengaro: Oh, I'm sorry. Just, if there is an update on the timing and the progress in the Arlington facility.
Enric Asuncion: Yes. So, we keep our plan to start production early in the second half of this year of 2022. Actually, we are very advanced in terms of the assembly lines are redesigned and order and [indiscernible] starting to happen in these facilities. So also recruiting, we have been recruiting key directors for this factory. So, everything is on time, and we expect by the early second half to start producing the first charges. We are going to start with Pulsar Plus our super successful product here in the U.S. And my plan is that Supernova in North America have it starting position in the U.S. the beginning of next year.
Operator: Thank you, Steven. Our next question comes from Ben Kallo of Baird. Ben, your line is now open.
Ben Kallo: Good afternoon guys. I wanted to touch on ATLAS first. Could you just talk more about that and what that means financially or from a technology perspective? Then I'll have a follow-up.
Enric Asuncion: Yes. So, all of our chargers need a computer, to do all these functionalities, we have Wi-Fi, we have Bluetooth, but we have lots of algorithms, algorithms that are running into our products. All the energy managed may require computing power many times and also all the communications and everything we have inside our products. This computer until now, we have been working with third-party providers, but we have been developing our own that fits our needs. And there's three main areas of focus for developing our on embedded CPU. One is the power and what's required -- what do we need, all the different volumes that we need for every charger. So for example, ATLAS will be first implemented in Supernova. So actually Supernova is coming out with ATLAS install, and then the rest of the products will start adding ATLAS. But ATLAS can run a Supernova, which has a big screen, is managing six power modules and also can manage Pulsar Plus, which is a much more basic product. And the idea is that we can add to this platform more or less module. And with that, we can play with what do we want to add from this computer. So what is the [indiscernible] we need. The second one is the actual cost and availability of components. If we are making a Supernova or we're making a Pulsar because we need different functionalities, we are able to save money instead of having the screen management in a Pulsar Plus. When you buy a better CPU from the shelf, you get everything. You get the computer, you get the screen management, you get everything. With ATLAS, we can choose which module are used in our product and which ones do we install and which ones do we, so actually build in our product. So, this allows us to save money and also helps us to navigate the crisis of semiconductors. We are seeing, again, there's some a lot of pressure in the semiconductors. So if we do our own embedded CPU, we can choose alternative components that still are based on our design. So we have much more flexibility than having to buy on a specific embedded CPU from one supplier, which is only one. In our case, with our own CPU, we have lots of little components and we can change little components by other suppliers. So, it makes us more Brazilian and allow us to produce -- keep producing as we haven't done until now. And the third one is cybersecurity. We are seeing that in the future charging and energy management is going to be a crucial thing in people's homes and in the public space. And it will require [anti-tampering sign fieldware], so lots of requirement in terms of cybersecurity, and ATLAS is ready for that. So, that's why we made this product and we already implemented it in Supernova. And new products will come -- sorry, relative products will add ATLAS very soon. Any follow up then?
Ben Kallo: And then just on the partnerships, I know some of them are very new, but could you just talk about maybe what you're seeing from some of the partnerships like SunPower, Polaris, I know is very new NAPA. How that changes your visibility? And then, what the strategy is for are adding new partnerships going forward? Is that the big focus or deepening the partnerships that you have? Thank you.
Enric Asuncion: Yes. So we are, we're excited with these new partnerships and actually when we launch in the U.S. we start with a very B2C for growth strategy because that was the fastest way to start selling a market. But as we discussed in the previous call, we have been working on our partnerships for B2B and B2C. So, we have been awarding all these partners. And I'm happy to say that already our revenue is going half to partners and half to B2C, and it's growing more the partners. So partnerships are a key part of our growth in the U.S. And later, we will see coming carbon manufacturers and OEMs, which is -- the deals that take more time to mature. In specifically about the different partners we close this deal with Polaris with NAPA. NAPA is a very important deal for us, and also Uber as we announced last year. In general, what we are seeing is that the Super Bowl app has really helped us with the awareness, but we didn't expect the fact that has with B2B partners. The fact of the Super Bowl app has allowed us to accelerate the closing or add new B2B partners to our pipeline or even to close new partnerships. So, they very happy with all of them, we are seeing traction in terms of sales and actually today 50% of our sales come from these new partnerships.
Operator: We have a follow-up from Chris Synder of UBS. Chris, your line is now open.
Chris Synder: Thanks for letting me get back in. I just wanted to follow up with the question on Iberdrola, who was an investor Wallbox in accounts for the bulk of the public fast charger orders so far. You mentioned in the prepared remarks that Iberdrola is playing to rollout. I believe the number of 150,000 chargers by 2025. Can you just provide some color on the Company's relationships with Iberdrola and the opportunity going forward? Thank you.
Enric Asuncion: Thank you. So, I'd just say, we have a great relationship with Iberdrola. They have been one of our first customers since we start the Company and they're also one of our investors. We have been providing, I would say, tens of thousands of chargers since our inception, especially in the home charging, which is where we have been -- having the closest collaboration. But now with the launch of Supernova, we see even a bigger opportunity because Iberdrola has -- as you say, has massive plans of installing early charges all around Europe, especially in Southern Europe. The relationship keeps growing and even we have partnerships together with car manufacturers. So for example, we together go to car manufacturers like Mercedes-Benz in some countries, and we sell the charter, and they sell the energy because they are utilities. So, we have deals together. And regarding Supernova, we are working right now with them on the integration on their backend to allow that the Supernova is fully managed by their payment systems for public charging, and we expect installation of the first chargers pretty soon.
Operator: We currently have no further questions. I'll hand back Matt Tractenberg for any closing remarks.
Matt Tractenberg: Thank you, Charlie. I think that's going to be it for us today. We hope that you found today's call a good use of your time. Our next quarterly earnings call is going to be held in May. So please join us for that. Also, please note that we have numerous investor events that we're being participating in throughout the spring. So, if you want to spend some time with us, please check the calendar of upcoming events for conferences or reach directly out to us at investors@wallbox.com. Let us know if we can help you in any way. Have a great day everyone.
Operator: Ladies and gentlemen, thank you for joining today's call. You may now disconnect your and have a lovely day.